Cyndi Holt: Good morning. This is Cyndi Holt, Vice President of Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers' Second Quarter 2017 Conference Call. Yesterday, we issued our earnings release, as well as our supplemental information package and our investor presentation. This information is available on our Investor Relations webpage, investors.tangeroutlet.com. Please note that during this conference call, some of management's comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations or FFOs, adjusted funds from operations or AFFO, same center net operating income and portfolio net operating income. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for a period of time in the future and as such, it is important to note that management's comments include time sensitive information that may only be accurate as of today's date, August 2, 2017. [Operator Instructions]. We ask you to limit your questions to two so that all callers will have the opportunity to ask questions. On the call, today will be Steven Tanger, Chief Executive Officer; Jim Williams, Senior Vice President and Chief Financial Officer; and Tom McDonough, President and Chief Operating Officer. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steven Tanger: Thank you, Cyndi, and good morning everyone. Over the last six years Tanger has delivered 11 new outlet centers, expanded seven of our properties, acquired seven outlet centers and bought out our partners in three joint ventures, while also recycling $312 million of capital from the sale of nine non-core assets. We have also thoughtfully managed our portfolio. In fact, the sale of our -- sale of our least productive asset in our portfolio in May 2017 was the 26th asset sale on our company's history. This has resulted in net growth of our footprint by 31% and reduced the average age of our fleet from 24 to 17 years old. In 2016 our portfolio net operating income cumulative growth rate since 2010 was 82%, not reflecting this from in this value creation the last time our shares were trading on a $26 range was almost six years ago in September of 2011. If you follow the popular media you may think that this connect is because the future will be one where nothing is brought in stores and where Amazon will be the only surviving retailer. We believe that scenario is not accurate. While we are not immune to retail headwinds, we believe we're well positioned to face them. Our key -- one key reason is our fortuitous balance sheet, it has seen us through a numerous economic, retail, real estate and retail cycles. Today, it is in better shape than ever with low leverage, plenty of liquidity, limited floating rate debt exposure, a large unencumbered asset pool and dual investment grade rates. We're pleased to have extended our streak to 55 consecutive quarters of consolidated portfolio same centered and operating income growth and ended the second quarter with our consolidated portfolio 96.1% occupied. Outlets remain an important and profitable channel of distribution for our tenant partners. We believe, the popularity of outlets with consumers and retailers and the strength of our core portfolio position us to weather the current headwinds in the retail environment as we have in similar parts of the cycle for the past 36 years and emerge stronger when the cycle turns positive. Before I discuss our operating performance and our outlook for the balance of 2017, I'll turn the call over to Jim who will take you through our financial results and a brief overview of our recent financing activities. Then Tom will update you on our development activities and the leasing environment. Go ahead, Jim.
Jim Williams: Thank you, Steve. Second quarter 2017 AFFO was $0.59 per share in-line with consensus estimates. Portfolio NOI which includes NOI for non-comparable centers increased 10.2% throughout the consolidated portfolio during the first half of 2017 and 9.5% during the second quarter. Over the last five years, our portfolio of NOI has grown by 46% cumulatively. Excluding the six remerchandising centers discussed in our earnings release, consolidated portfolio same center net operating income increased 2.3% on a year-to-date basis and 2.2% during the second quarter of 2017. Including these centers, same center NOI increased 0.8% on a year-to-date basis and 0.7% during the second quarter of 2017. Lease termination fees, which are excluded from same center and portfolio NOI, totaled approximately 2.6 million in the first half of 2017 compared to 2 million for the same period of 2016. Following last year’s timely conversion of $525 million of floating rate debt to fixed interest rates we have continued to successfully execute liability management strategies in 2017. We completed a 300 million 10-year bond offering on July 3, 2017. The pricing and execution of this offering illustrated the fixed income community’s confidence in our business. Demand for the paper was so great that it ultimately priced at a spread of 170 basis points which was 20 basis points inside the underwriters’ initial price syndication and represented a 5 basis point negative new issue concession. To-date we used $295.9 million of net proceeds from this 3.875% offering to redeem $300 million of 6.125% bond debt that was due June 1, 2020. We utilized borrowings under our unsecured lines of credit to fund the balance of the 334.1 million required to fund the redemption which included a 34.1 million make-whole premium. During the third quarter, the make-whole premium would be an adjustment for FFO and therefore excluded from AFFO. These transactions will result in a $6 million increase in our annual cash flow and $0.06 per share to AFFO on an annualized basis. The positive AFFO impact to the second half of 2017 will be about $0.015 per share which includes interest savings on the rate differential beginning today offset by the double interest effect of having both bonds outstanding for the last 30 days, and interest expense on incremental LIBOR used to fund the redemption. As of June 30, 2017, approximately 91% of the square footage in our consolidated portfolio was non-encumbered by mortgagees and only 101 million was outstanding under our unsecured lines of credit at quarter end, leading 81% unused capacity or approximately $419 million We maintained a strong interest coverage ratio during the second quarter of 4.3 times and a net debt-to-EBITDA ratio of about six times. Our floating rate exposure represented only 13% of total debt or 5% of total enterprise value. Given effect to the bond offering and redemption, the average term to maturity for outstanding debt was 6.7 years the weighted average interest rate on outstanding debt 3.31% and we have no significant maturities until April of 2021. Our conviction that our shares are undervalued [indiscernible] that we recently put a two year 125 million share buyback plan in place. Using asset sale proceeds we repurchased 1.5 million of our common shares during the quarter at a weighted average price of $26.25 per share for total consideration of $39.3 million. That leaves 85.7 million remaining under our $125 million share price authorization. In April, we raised our dividend by 5.4% on annualized basis, this was the 24th consecutive year we have increased our dividend or every year since becoming a public company in May of 1993. Our current annualized dividend of $1.37 per share is more than double our 2006 dividend which was $0.68 per share on a split adjusted basis. Over the last three years our dividend has grown at a 30% compounded annual growth rate. On August 15, 2017, we will pay our 97th consecutive quarterly dividend of $34.225 per share to holders of record on July 31, 2017. We expect our AFFO to exceed our dividend by more than $100 million in 2017 with an expected AFFO payout ratio in the mid 50% range, our dividend is well covered. To maintain our strong and flexible leverage profile, we prefer to use internally generated cash to fund any further purchases under our share repurchase program. The redemption make-whole premium and the completion of the two projects that will open later this year are [indiscernible] investments and will consume our remaining cash flow for the balance of the year. Currently we also expect our 2018 FFO to exceed our dividend by more than $100 million. With no new center opening to plan for next year and annual capital expenditures [indiscernible] expected to return to a normalized level of approximately $25 million to $30 million we should have ample internally generated cash that we'll use to increase our common share dividend naturally do ever the balance sheet, reinvest in and refresh our properties and or repurchase additional shares as market conditions warrant. Our conservative mindset has served Tanger well throughout 36 years of economic peaks and valleys maintaining a fortuitous balance sheet and investment grade credit is our way of life and after stewardship is the hallmark of Tanger outlets and we do not intend to change. We'll now turn the call over to Tom.
Tom McDonough: Thank you, Jim. The expansion of our Lancaster, Pennsylvania center is nearing completion. The new space will open in less than a month increasing the size of the center by 123,000 square feet or 53% and adding over 20 new brand name and designer outlet stores. Our Lancaster center is already highly productive with stellar tenants such Coach, Nike, Movado and Talbot. With the addition of upscale brand name and designer tenants opening in this expansion including North Face, Michael Kors, Under Armour, H&M, Columbia and a new state of the art Polo Ralph Lauren store, the newly expanded Lancaster center promises to be even more productive. We anticipate that the expansion will be about 90% leased when it opens on September 1st. Also of note, the announcement that the other outlet center in the market is going to foreclosure auction on September 12th has enhanced demand for space in our center. If you plan to be in the area for the Labor Day holiday, please stop by and check out our newly expanded center. The second development project we plan to open in 2017 is our new 352,000 square foot center in Fort Worth Texas adjacent to Texas Motor Speedway and within the Champion Circle mixed used [ph] development. By many accounts Dallas, Fort Worth is one of the top four or five retail markets in the country. We will be delivering a center that will include many point of differentiations and highly sought-after retailers like Restoration Hardware, Nike and Polo Ralph Lauren to name a few. We've already begun turning over space to tenants for the buildout and expect to be about 90% leased at grand opening which is scheduled for October 27th. As of quarter end $85.3 million remain to be funded to complete these two wholly owned projects which are expected to generate a weighted average stabilized yield approximately 9.3%. As we all know 2017 has been a challenging year for retailers, characterized by multiple bankruptcies and store closing announcements. Recent research published by Fung Global Retail listed 2017 closure announcements totaling 4,381 stores by 29 retailers. However, let me put that in perspective, most of the retailers on this list are not in any Tanger centers. In fact, while we don't mention individual tenants based on our discussions with the tenants on this list, we expect only a total of 24 store closures in the Tanger portfolio, 20 of which have already closed. Teavana is the latest to announce closing and we have no Teavana locations in our Tanger portfolio. We also have no Sears, K-Mart, JC Penney, hhgregg, or GameStop stores. Our tenants tell us that outlets are their most profitable distribution channel. And so, it follows that the demand for space in our centers remains strong. Demand for outlet space is coming from existing retailers interested in opening new stores or upsizing their existing stores, as well as retailers that are newer to outlet distributions. The seasoned group of active tenants includes retailers like Old Navy, Michael Kors, Polo Ralph Lauren, Skechers, Levi's, Columbia, Kspace, Vineyard Vines and Bath & Body Works. One such active tenant a popular designer accessory retailer is working with us to open six new stores by year end 2017. The newer active tenant group includes, HomeGoods, T.J.Maxx and [indiscernible] in the home category, Tory Burch, Lululemon, Francesca's, Marshalls, Dockers, [indiscernible] in the apparel and footwear categories. Alex and Ani, Pandora, Alexis Bittar, [indiscernible] and Shinola in the accessories category and bare+BEAUTY in the health and beauty category. I will now turn the call back over to Steve.
Steven Tanger: Thanks Tom. As I mentioned earlier our consolidated portfolio was 96.1% occupied as of June 30, 2017. Historically we have maintained both high occupancy and a dynamic line up of the most sought-after brand name retailers. We own a portfolio of high quality outlet centers; our consolidated portfolio's occupancy cost ratio is lower than any other retail channel meaning our stores are more profitable. Said another way, at the rents that our tenants are paying there is more cushion for the store to remain profitable should top line growth slow. Historically this has resulted in fewer outlet stores vacating when a retailer announces store closes. Most recently one of our tenants announced the closing of 125 full priced stores, none of which were in our portfolio. There are many other examples that illustrate this thesis. In fact, at our recent meetings with tenants, the mood was cautiously optimistic, professional and many discussing these stores. At times of the cycle when underperforming brands have shuttered stores, we have capitalized on those opportunities to enhance the tenant mix by filling the space with fresh new brands that our shoppers tell us they want in out centers. While these desirable higher volume retailers have a lower relative occupancy cost that may impact re-tenanting spreads in the short-term, remerchandising vacant space with high volume retailers has been a successful long-term strategy for Tanger for more than 36 years. Enhancing the tenant mix in this way has historically increased shopper traffic, driven demand from additional new tenants and increased future renewal spreads and overall tenant sales productivity. With these objectives, we have planned major remerchandising projects ongoing at six of our centers. We expect to complete this work by yearend at our centers in Howell Michigan; Hilton Head, South Carolina; Jeffersonville, Ohio; Myrtle Beach, South Carolina; Ocean City, Maryland and by the end of 2018 in Tilton, New Hampshire. Our projected unlevered yield is about 7% on our planned $24.3 million capital investment. We are not currently forecasting any additional major remerchandising activity in 2018. Eight of the new leases executed to-date at these centers to re-tenant 150,000 square feet with high volume retailers required the consolidation of 24 store fronts with an average size of 6,200 square feet to these large new format stores with an average size of approximately 18,700 square feet. Excluding these large format spaces, blended rental rate increased 11.7% on 265 leases many who re-tenanted throughout the consolidating portfolio during the first six months of 2017 totaling 1,187,000 square feet. Re-tenanted space accounted for 186,000 square feet of this space and resulted in an average base rental rate increase of 18.4%. Lease renewals accounted for the remaining 1,001,000 square feet of executed leases and resulted in an average increase in base rental rates of 10.4%. Given current market conditions, we have deliberately chosen to shorten the term to 12 months for 29 leases totaling approximately 113,000 square feet or about 11% of the renewals we have executed. Excluding these short-term leases, average base rental rates for renewals increased 12.7%. Renewal spreads at the six centers we are remerchandising was more than 200 basis points higher than the renewal spreads for the balance of our consolidated portfolio. Regarding lease modifications, we are at the point in the cycle where landlords must carefully balance occupancy and rent. Generally speaking, we expect our tenant partners to honor the terms of our contract and revisit the terms of the agreement exploration. During the first six months of 2017 we recaptured approximately 142,000 square feet within our consolidated portfolio related to bankruptcies and brand wide restructurings by retailers including 80,000 square feet during the second quarter. During 2016 we recaptured 19,000 square feet during the first half of the year and 105,000 square feet overall. To date, we have executed leases or leases in process for about 70% of the space recaptured since 2016. Based on what we know today, we expect to recapture an additional 15,000 square feet in the second half of 2017 and expect yearend occupancy to be approximately 96% for the consolidated portfolio. Average tenant sales productivity within our consolidated portfolio was $383 per square foot for the trailing 12 months ended June 30, 2017 or $403 per square foot on an NOI adjusted basis. Same center tenant sales performance for the three months ended June 30, was up 1.1% for the overall portfolio and up 1.2% for the consolidated portfolio compared to the three months ended June 30, 2016. Same center tenant sales performance for the trailing 12 months ended June 30, 2017 was down 1.2% on the overall portfolio and down 2.2% on a consolidated portfolio compared to the 12 months ended June 30, 2016. There are number of factors impacting tenant sales. In the past 12 months three new centers have rolled into the consolidated portfolio average tenant sales metric including Foxwoods in Memphis during the first quarter of 2017 and Grand Rapids in the fourth quarter of 2016. Initially, new centers do not typically exceed our portfolio average but in the first several years as the potential for strong tenant sales growth. Westgate is a good example having started out below our portfolio average in the first quarter of 2014 and has grown its current productivity which ranks in our top 10 centers. Another factor negatively impacting apparel sales is the prevalent price deflation as underperforming retailers continue to deeply discount product that is not resonating with the consumer. We are not at risk of having large department store boxes go dark or having to put a tremendous amount of CapEx into re-tenanting lease spaces because we have no department stores. Our properties generally have standard bay depths so we're more easily reconfigured by moving the demising walls that divide suites to make them larger or smaller as needed. Our industry is not overbuilt. Factory outlets only represent about 1% of total retail square footage about 70 million square feet compared to over 7.5 billion square feet of other retail. New supply is limited in the outlet industry, only three new centers open last year two of which were Tanger outlet centers. Only four centers are planned to open this year including our Fort Worth Texas center that will open this fall. Next year, we expect only two new centers to open. We acknowledge that these are challenging times for many retailers, however with the lowest average tenant occupancy cost among mall REITs at just 9.9% for our consolidated portfolio we have been successful at raising rents while maintaining a very profitable distribution channel for our tenant partners. Over the last 10 years we have invested over $300 million into renovating our portfolio and upgrading our tenant mix with sought after brand name and designer retailers. Regarding our outlook for the balance of the year we have revised our guidance primarily to reflect the sale of the Westbrook center, share repurchases during the quarter and our REITs and financing activity. Currently we expect full year 2017 net income per share to between $0.70 and $0.75 per share and FFO to be between $2.04 and $2.09 per share. We are maintaining our previous guidance for AFFO per share of $2.40 to $2.45 and our assumption for the same center net operating income of 1.5 to 3% excluding the six outlet centers undergoing remerchandising efforts or between 1.5% and 2% including these centers. Last quarter we revised our AFFO and same center net operating income mainly to reflect the impact of incremental unexpected store closings and delayed store openings. We also widened our range from a 100 basis points to a 150 basis points for same center NOI growth to reflect the volatility and variability of the current market environment. As mentioned earlier we have back an additional 80,000 square feet during the second quarter related to bankruptcy filings and brand wide restructuring, most of which was incorporated into our previous guidance. Based upon what we know today, assuming no additional bankruptcy filings and assuming the deals we have reached with tenants currently in bankruptcy are ultimately approved by the bankruptcy courts, we believe we'll be in this range. We are encouraged by what we are hearing from our tenants that they want to open new stores. Where in the range we end up will depend on how quickly we can fill vacancies, the level of sales our tenants achieve in the third and fourth quarter and whether there are additional tenants filing for bankruptcy. Our key guidance assumptions including lease termination fees totaling $2.7 million for the full year average G&A expense between 11.2 and 11.7 million per quarter, 94.7 million weighted average diluted common shares for 2017, net income per share and 99.7 million shares for AFFO and FFO per share. As Jim reported the potential for repurchasing additional shares through the balance of the year will be contingent upon market conditions and our maintaining a flexible leverage profile and our investment grade credit ratings. Our forecast does not include the impact of any additional financing activity, the sale of any of our parcels, additional properties or joint venture interests, or the acquisition of any properties or joint venture partner interests. To conclude, our business model is unique from the rest of our peer group. Despite bankruptcies and store closing announcements by a number of underperforming retailers, outlets continue to provide the brand value and experience that consumers want and remain one of the most profitable channels of distributions for our retailers We believe that our fortuitous balance sheet, the strength of our core portfolio and our longstanding retailer relationships leave us well positioned to weather the challenges of today’s retail environment and prosper when the cycle turns positive. Now I would be happy to answer any of the questions.
Operator: [Operator’s Instruction]. Your first question comes from the line of Caitlin Burrows of Goldman Sachs.
Caitlin Burrows: Hi, good morning. I was wondering if you can reference the 29 deals that you guys did that were just 12 months renewals and part of that had to do with just the current status of the retail environment. So, could you just give more details on kind of how this team up with your suggestion or going to the retailer and wanting to do that or did they want that or kind of how did that happen?
Steven Tanger: I think it was a mutual decision, vacancies are a cancer on any retail shopping center. It’s our desire to keep the space occupied and it’s also our desire to control space when the market changes and becomes more robust which we think it will at some point in the future. We are also finding that the outlets continue to be a very profitable distribution channel for out tenants. Most of our tenants have been in this property or five, 10 and 15 years and their stores are fully depreciated. So, it’s a win-win for of us in view of market conditions where there are some question as to what their long-term plans are to keep the space open on a 12-month basis and see how the market sorts itself up.
Caitlin Burrows: Okay. And then also just on the I guess leasing spreads in the quarter. You guys gave a lot of detail on that. Can you give me any more on kind of what you are seeing at some of your higher quality properties versus the lower and if there is a wide discrepancy or not in terms of pricing power?
Steven Tanger: We have given you the sales productivity for the entire portfolio and on a weighted NOI basis. I think you can assume the detail we have given you is sufficient detail for you to draw whatever conclusions you might need to draw. And it’s also a logical conclusion that we are investing in all of our properties to try to increase the productivity of all of our properties in the long-term cash flow. We are not doing anything for the short-term
Operator: Your next question comes from the line of Craig Schmidt with Bank of America.
Craig Schmidt: Thank you. Thinking about the H&M stores in your portfolio, I believe you have around 14 in your centers and the H&M center at National Harbor has a significant presence that was extended and talk to that? Finally, I also see you are adding in H&M to Hull. And the question is I am just wondering what impact do these H&M stores have on your centers? Are the sales productivity above the center average and what do they have impact on traffic or other impacts on the property?
Steven Tanger: It’s hard to tell the impact of any one particular center as you well know. H&M is a very popular global retailer today with a well-known brand name and a huge following of customers. We are delighted to have them as a tenant partner. When we add them to the center traffic increases, sales overall for the property increase. So, we're also going to add more H&M stores as we work with them on their expansion.
Operator: Your next question comes from the line of Todd Thomas with KeyBank Capital Market.
Todd Thomas: Hi, thanks good morning. Just first question on guidance, the adjusted FFO guidance range you provide was you maintained at 240 to 245 and you mentioned that the dilution from the sale Westbrook was offset by the stock buybacks and everything else seems to have been maintained. So, I am just curious if there is an offset to the penny and a half benefit from the lower interest expense you expect to recognize throughout the course of the rest of 2017?
Steven Tanger: There is a range for a reason, we've given the range based on what we know today and we certainly expect to perform within that range. We're going to continue to monitor how fast we're able to refill the space and we will revisit the range as we do at the end of every quarter. Our range also assumes no further bankruptcies are announced and the deals that we've reached with tenants currently in bankruptcy are approved by the bankruptcy courts. So, there is a lot of -- there is a reason there is a range and we're comfortable we'll end the year inside the range.
Todd Thomas: Okay. And then just back to your comments that we're at a point in the cycle where landlords must balance occupancy and rents I guess. How long do you expect to see that persist and what does that mean for leasing spreads in the back half of the year?
Steven Tanger: I don't have a crystal ball, I don't think anybody knows how long this market's going to be at this point in the cycle and when it's going to turn. So, we don't really give guidance on any rent spreads. Our spreads reflected in the same center growth assumptions that we provided. Typically, we renew about 80% to 85% of our space. So, I can't really give you more guidance than that.
Todd Thomas: Okay. When the short-term renewals was that one deal -- was that a deal negotiated with one retailer or was that spread across multiple retailers?
Steven Tanger: It's multiple retailers.
Operator: Your next question comes from the line of Samir Khanal with Evercore.
Samir Khanal: Hey Steve. Good morning. You kept the guidance unchanged at 0.5% to 2% but it looks like you're tracking closing at a higher level in that at this point it's 140,000 square feet and it looks like you might get back in other 15,000 square feet in second half. So, I guess, just from sort of factors and assumptions you're baking into the low end of guidance here at that 0.5% I mean how much further store closing is baked into that at this point?
Steven Tanger: Well we've already released about 70% of the space that we've gotten back in the last 18 months. So that's pretty good performance. We're only expecting a small number of leases because space to vacate in the balance of the year and we're having ongoing discussions with tenants to fill that space. We have guided, we're currently at 96.1% and we've guided at the end of the year that we're going to remain above 96%, so we're comfortable that we'll be able to fill that space and certainly the cadence of filling it, the cadence of vacancies will not exceed our ability to fill the space.
Samir Khanal: Okay, I guess my last question would be on Atlantic City, look at the occupancy there, it dropped a little bit I just wanted to see if you could provide some color around that.
Steven Tanger: I'm sure it’s very few if any, maybe a small tenant or two closed but we're also talking to several very exciting tenants about expanding in Atlantic City and adding to our group in Atlantic City. It's basically three tenants that closed.
Samir Khanal: Okay, thank you Steve.
Steven Tanger: Operator, do we have any more questions?
Operator: Your next question comes from the line of Michael Mueller with JPMorgan.
Michael Mueller: Hi, couple of questions. Steven no new development, no new outlets opening in 2018 is that more of a function of the block and tackling you want to spend in the balance of this year kind of finishing up the remerchandisings in the portfolio or is it little bit more of a function of you just couldn’t get it done in this sort of market.
Steven Tanger: Well, it's not that we can't get it done. I mean, we certainly have the financing and the skill to build a shopping center as we've done over the past 36 years. We have very strict consistent underwriting criteria one of which is we will not start construction until we're 60% pre-leased. We had a new development announced in the Detroit area which we dropped in the first quarter and took the write off because we couldn't get the tenant commitments to sign leases to get to the 60% to break ground. And we decided based on current market conditions rather than chasing a deal and continuing to pour money into it, and then having a very large write off, we decided to terminate the land agreement and move forward and focus our human resources on filling the space that we've gotten back and remerchandising our existing centers. But we do and we are actively working on a shadow pipeline of several different locations which we've shown several tenants but we're not going to build into a market where there's this much uncertainty. But as we were in 2008 and 2009 and 2010 where we didn't deliver a single property based on market conditions and you may remember those conditions. We had the greatest growth spurt from 2010 to 2016 than our company's ever had. So, we're prepared when the market and the cycle turns, we're positive which we think it will, but right now it would not be prudent for us and we never will build on a speculation.
Michael Mueller: Got it, and just quick confirmation on something, Jim I think I missed it, did you say the 25 million to 30 million in CapEx that level is going to return in 2018?
Jim Williams: That’s right.
Michael Mueller: Okay. Okay, that was it. And last thing, just any discontinuous fairly good tenant from a PLA standpoint I think that’s around 6% or 7%, anything that you can share about what’s going on within your portfolio with them just given their announcement from a couple of months ago?
Steven Tanger: We have a lot of respect and have known the management of the center for the better part of 35 years. They were one of our first tenants. They have a balance sheet with a lot of cash. So, I don’t think that there are bankruptcy risk at this point. We are in discussions with them. We have a large portfolio. But they have given every indication that they will honor their leases and when there is an actionable event, we are in discussions with them. And all things are on the table on both sides. So, we have a longstanding professional relationship and personal relationship with them. We don’t expect that they will terminate a lease before the end of its natural expiration.
Michael Mueller: Got it. Have you gotten any sort of indication where there is a sizable portion of those leases upon expiration won't be renewed?
Steven Tanger: Well that would be speculating. But the answer is…
Michael Mueller: I guess not if you told…
Steven Tanger: … less than a handful in the next two years. If you wanted me to give you a guess, that’s based on our initial conversations, but that will be more weighted to 2018 than this year.
Operator: Your next question comes from the line of Floris van Dijkum with Boenning.
Floris van Dijkum: Hi, Steve. Thanks for taking my question. I just wanted you to maybe give some more color on your outlook for the cash re-leasing spreads. They have come down from I think 5.6% in the first quarter to below 1% in the second quarter. Is that related to the sales performance or do you think there is some one-off events that are really driving that going forward?
Steven Tanger: Well first of all we don’t really give guidance on rent spreads. And it’s not any one particular event. It’s not a case-by-case basis. We look at the -- we review every asset every quarter and make capital allocation decision including leasing decisions. So, I am not prepared to give you future guidance on the spreads.
Floris van Dijkum: Okay. Let me ask you another question if I may. You had mentioned potentially investing in some of your bond center if you’re continuing to invest because you’re looking at from a long-term. How do you guys weigh your investment in the bottom call 15 centers more carefully and does your return hurdle rise for those centers compared to the top 10% of your portfolio or how do you think about that?
Steven Tanger: Well the re-merchandise centers, the six centers are in the bottom half of our portfolio. We have been able in those centers to attract high volume key retailers and to be able to accumulate the space for them. So, we're comfortable that let me put it in perspective, the remerchandising investment totals $24.7 million and it's an accretive return of little over 7%. So, these are carefully weighed investment decisions both for the long-term health and viability of the assets and appropriate capital allocations disciplines.
Floris van Dijkum: So, I guess and somewhat yes you do weigh it but the concern I guess some people have is that those center, the cap rates for those lower tier centers is higher than the 7%. So, is that accretive to the overall value of the center I guess it's more of the question I was trying to have you answer.
Steven Tanger: I don't think you can compare 7% return on a $25 million investment spread over six shopping centers and draw a conclusion that a particular center value is 7%. We look at it long term, these centers are not on the market for sale. My experience is that if you do nothing with these centers, the vacancy continues to grow and the value of the center drops off a cliff. We've been concluding remerchandisings for 35 years. This is not the first cycle we've been through, it's probably the fifth or sixth. And if I had more time I would be happy to name them and give you examples. But we're already starting to see the renewals at the six centers that we're remerchandising are averaging more than 200 basis points higher than in the rest of the portfolio. So, we're already seeing more shopping center returns than just one single investment.
Floris van Dijkum: Got it, great.
Steven Tanger: These are long term investments. We're not merchant builders, we intend to own these assets and they continue to improve these assets and they provide their shoppers in those trade areas with the most up to date brand names in the marketplace which is what we're doing.
Operator: Your next question comes from the line of Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Hi, good morning again. I just had one follow up question on the remerchandise centers. I was previously under the impression that there were seven of them, so I was just wondering if now there were indeed only six or if one finished.
Steven Tanger: We sold the Westbrook property which was the…
Caitlin Burrows: Got it. And then just lastly on for the five that are expected to be done this year and the one for 2018. The one that's going to be done the New Hampshire one in 2018 was that always expected to take a little bit longer?
Steven Tanger: Yes.
Caitlin Burrows: Okay thanks.
Operator: Your next question comes from the line of Christy McElroy with Citi.
Christy McElroy: Hi good morning, everyone. Just a follow up on the remerchandising just in terms of the project expected to be completed by year end and in 2018. In regards to the 7% return, over what time frame is that return likely to be achieved? So, I'm just trying to figure out, is that 7% related just to the remerchandised stores for the store fronts that are being consolidated or does that include the sort of the upside in the renewals over time that you spoke of.
Steven Tanger: It's not a long-term return. I mean we took the incremental NOI from the tenants we're adding and divided it by the investment. So, it's almost an immediate return when the new tenants open. It does not take into account the speculative impact of higher renewals for other tenants or filling additional vacancies. It's just from what we know.
Christy McElroy: Okay, so, by that I would imagine -- it sounds to me like if you’re consolidating store fronts and you're creating a larger store that would imply a lower rent per square foot on those stores, I guess that's not the case, it's actually higher in the aggregate when you're churning…
Steven Tanger: Keep in mind, some of the aggregation of space included vacant space.
Christy McElroy: Right okay, what impact…
Steven Tanger: If you want we're happy to discuss that with you offline.
Christy McElroy: Okay, so I'm guessing there's a lot of vacant space that was vacant for a long period of time as opposed to just closed in preparation for the remerchandising.
Steven Tanger: Again, we're happy to discuss, if you want to give us a call afterwards we're happy to walk you through.
Christy McElroy: Great, and then just what impact on your sales per square foot would you expect as a result of the remerchandising of these six centers?
Steven Tanger: We haven't given any guidance, future guidance on that.
Operator: Your final question comes from the line of David West with Davenport and Company.
David West: Good morning, perhaps a clarification, a competitor announced they're opening a center in the Fort Worth area that the shops at Clear Fork, it wasn't clear whether this is a full service conventional shopping center or an outlet center. I just wondered if you could comment about its positioning relative to your Fort Worth property that you're opening in October.
Steven Tanger: It's not going to be an outlet center, we will be, to our knowledge the only outlet center in Fort Worth, there are two other outlet centers, one's closer to the Dallas market, I guess both are closer to the Dallas market. So, we will be the one servicing Fort Worth.
David West: Alright, thank you for that clarification.
Steven Tanger: Well, if there're no more questions I want to thank everybody for continuing to support us and staying on the call, and I wish everybody a great summer and come visit us in Lancaster, Pennsylvania and Fort Worth when we open up. Talk to you in another 90 days, goodbye.
Operator: Thank you, this does conclude today's conference call. You may now disconnect.